Operator: Good day, and welcome to the NW Natural Holdings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Nikki Sparley. Please go ahead.
Nikki Sparley: Thank you, Chantelle. Good morning, and welcome to our second quarter 2019 earnings call. As a reminder, some of the things that will be said this morning contain forward-looking statements. They are based on management's assumptions, which may or may not occur. In addition, some of our comments today reference non-GAAP adjusted measures. For a complete reconciliation of these measures and other cautionary statements, refer to the language and reconciliation at the end of our press release. We expect to file our 10-Q later today. As mentioned, this teleconference is being recorded and will be available on our website following the call. Please note, these calls are designed for the financial community. If you are an investor and have additional questions after the call, please contact me directly at 503-721-2530. News media may contact Melissa Moore at 503-220-2436. Speaking this morning are David Anderson, President and Chief Executive Officer; and Frank Burkhartsmeyer, Senior Vice President and Chief Financial Officer. David and Frank have prepared remarks and then will be available along with other members of our executive team to answer your questions. With that, I will turn it over to David.
David Anderson: Thanks, Nikki. And good morning everybody. I'll start today with highlights from the quarter, and then turn it over to Frank to cover our financial performance. And then I'll wrap up the call with a look ahead. We're halfway through the year and have executed very well on our growth initiatives and have posted strong financial results. For the first six months, net income increased $0.11 per share to $1.56 per share compared to $1.45 per share for the same period in 2018.  As previously discussed, our – this year's first quarter results included a onetime regulatory pension disallowance, a $0.23 per share related to an Oregon commission order. Excluding that disallowance, on an adjusted basis, net income increased $0.34 per share or $10.4 million to $52.1 million or $1.79 per share for the first six months of 2019. These results reflect new rates in Oregon and customer growth. The regional economy continues to be good and the labor market remains strong. Unemployment levels in our service territory remain at historic lows. After several years of exceptional growth, the housing market remains steady. In fact, over the last 12 months, we've connected more than 12,400 new customers, resulting in a growth rate of 1.7%. As previously announced in May, we placed the North Mist gas storage expansion into service. The expansion provides an innovative no-notice service that supports Portland General Electric as they manage the volatility of the electric grid and integrate renewables. North Mist is just the latest expansion in a 30-year history of development at the Mist storage field. What began with depleted reservoirs in the 1980s has grown into 20 billion cubic feet of storage, with this 4 billion cubic feet addition. Mist delivers energy to our region at the most critical times. With only a single pipeline serving the region, this facility is essential for reliable gas and electricity service. Now an update on our Washington rate case. As you may remember, our Washington service territory covers about 11% of our overall customer account or roughly 10% of overall revenues. In May, we filed a settlement with the commission reflecting our agreement with all parties on almost all items. One party has disagreed on the decoupling methodology currently used by all other gas utilities in the state. Under the all-party settlement, Northwest Natural's revenue requirement would increase $5.1 million, and it's based on an ROE of 9.4% and a cost of capital of 7.2%. Rate base would be – would increase – excuse me, increase $45.9 million to a total of $173.7 million. We expect an order from the commission this fall with rates effective November 1. With that, let me turn it over to Frank to go over the financials a little bit deeper. Frank?
Frank Burkhartsmeyer: Thank you, David and good morning. I will begin with a summary of our second quarter and year-to-date reported financials and then discuss our cash flows and guidance for the year. As a reminder, Northwest Natural's earnings are seasonal with the majority of revenues generated in the first and fourth quarters during the winter heating season. Also notice that our effective tax rate was 23.4% for the second quarter, slightly below our statutory rate of 26.5%. The main difference is a result of returning excess deferred income taxes related to tax reform to our Oregon customers. We expect the lower effective tax rate to persist, as we continue to provide these benefits to customers. I'll describe earnings drivers on an after-tax basis using the statutory tax rate of 26.5%. For the quarter, we reported net income from continuing operations of $2.1 million or $0.07 per share, compared to a loss of $300,000 or $0.01 per share for the same period in 2018. The $0.08 per share increase is comprised of a $0.14 per share increase in the natural gas utility segment, partially offset by a $0.06 per share decline from lower asset management revenues at Mist and higher non-operating expenses associated with developing the water business. In the natural gas utility segment, margin increased $8.3 million largely due to higher Oregon rates and strong customer growth, which collectively added $4.6 million. Storage revenue from the North Mist expansion contributed an additional $1.6 million. In addition, lower environmental expenses, coupled with warmer weather contributed $2.2 million. The $2.1 million increase in other expense was offset by an increase in revenues. This is the result of the Oregon rate case, which froze the pension balancing account and increased customer rates to reflect current FAS 87 expense. Interest expense increased $1.2 million primarily from higher commercial paper balances this past winter. On a consolidated basis, year-to-date net income from continuing operations was $45.5 million or $1.56 per share, compared to $41.7 million or $1.45 per share for the same period in 2018. Excluding the $6.6 million pension disallowance, adjusted year-to-date net income from continuing operations was $1.79 per share or an increase of $0.34 over 2018. The $0.34 per share increase is comprised of $0.40 per share in the natural gas utility segment, partially offset by a $0.06 per share decline from lower asset management revenues and expenses associated with growing the water business. In the natural gas distribution segment, utility margin increased $22.9 million, largely due to higher Oregon rates and customer growth, which added $13.9 million. Furthermore, gas storage revenues from the North Mist expansion provided an additional $1.6 million. Finally, as a result of the Oregon order, margin increased $5.2 million with no effect on net income as offsetting adjustments were recognized through expenses and income tax as disclosed in the first quarter. Utility O&M and other expenses increased $20.3 million with approximately $18 million related to the Oregon rate case. $4 million of the increase resulted from freezing the pension balancing account and is offset with higher revenues from customer rates. $14 million of the increase was due to day one impacts of implementing the March quarter as described on the first quarter call.  As a result of the March order, there are lots of moving pieces in the financials, but the underlying drivers are straightforward. We have new rates in Oregon and customer growth. A few notes on cash flow. For the first six months of 2019, the company generated $155 million in operating cash flow. We invested $153 million into the business with $91 million used for gas utility capital expenditures and $56 million for water acquisitions. On a net basis, financing activities provided $47 million in cash for the first six months. We issued $140 million of long-term debt at the gas utility and another $35 million at Northwest Natural Water. In addition, we issued $93 million of equity in June. We completed these financings to support our ongoing construction program at Northwest Natural, repay short-term debt balances and for general corporate purposes. Our balance sheet remains strong with ample liquidity. Moving onto 2019 financial guidance. As you may recall from our first quarter earnings release, our GAAP earnings guidance from continuing operations for 2019 is expected to range from $2.02 to $2.22 per share. Excluding the $0.23 per share disallowance, we remain on track with our adjusted earnings guidance from continuing operations in the range of $2.25 to $2.45 per share. Guidance assumes continued customer growth, average weather conditions and no significant changes in prevailing regulatory policies, mechanisms or outcomes, or significant laws or regulations. Finally, this guidance excludes the expected gain related to the sale of the Gill Ranch storage facility and associated operating results. These items are reported in discontinued operations.  With that, I will turn it over to David for his concluding remarks.
David Anderson: Thanks, Frank. Turning now to the water side of the business, we hit an important milestone in May with the close and purchase of the Sun Water – Sunriver water utility, our largest water transaction to date. Sunriver is one of the state's longest standing and oldest resort communities in Central Oregon. Our water utility and wastewater company there serve a combined 9,400 connections. The acquisition is projected to be accretive in the first full year of operations. In June, we entered into an agreement to acquire our first municipally owned water and wastewater utilities from the Taylor Mountain Water and Sewer District located near Idaho Falls. Although, this is a small acquisition, it is a clear example of the benefits of our roll-up strategy, while growing our existing footprint, opportunities in other water sectors are unfolding that allow us to continue growing in a disciplined and measured manner. Through water acquisitions like these, we're adding an earnings stream that has a low risk and strong cash flow profile, much like our regulated natural gas utility. So far, we've committed nearly $70 million of investment in the water sector. And once we close all outstanding transactions, we'll serve approximately 47,000 people through 18,000 connections in Oregon, Washington and Idaho. We're working on closing a few smaller water transactions and integrating all these businesses into our platform. We'll continue pursuing targets west of Mississippi. I remain very excited about the potential growth in this business. As we've discussed before, we have a commitment to help reduce greenhouse gas emissions in the communities we serve. Each year, Northwest Natural delivers more energy in Oregon than any other utility, gas or electric, for a modest carbon footprint. The use of natural gas in our customers' homes and businesses accounts for just 5% of Oregon's emissions. But we know we can do even better, which is why we launched an initiative called our Low Carbon Pathway, an effort that includes a voluntary carbon savings goal of 30% by 2035. We have identified new opportunities to reduce emissions using our existing infrastructure, one of the most modern and tightest pipeline systems in the nation. That includes working with customers on energy efficiency, exploring cutting-edge technologies like power to gas, and including renewable natural gas in our supply mix, which is why we're excited that Oregon Senate Bill 98 was recently signed into law by our Governor, Kate Brown. This groundbreaking legislation creates a path for renewable natural gas to become an increasing part of the state's energy supply. RNG is a zero-carbon resource produced from organic materials like food, agriculture and forestry waste, wastewater or landfills that can be added into the existing natural gas system. All forms of RNG are supported in the law, including renewable hydrogen, which can also be put into our system. Senate Bill 98 enables utilities to acquire RNG on behalf of Oregon customers and goes further than any other law by outlining goals for adding as much as 30% RNG into the state's pipeline system by 2050. The law allows up to 5% of utility's revenue requirement to be used to cover the incremental cost of renewable natural gas. Currently, that equates to about $33 million annually for Northwest Natural. Gas utilities are also allowed to rate-based interconnections with the gas system and could include RNG facilities in rate base if that is the lowest-cost option for customers. Besides reducing the carbon intensity of what's going through our pipes, RNG is a great way to help our communities solve their waste problems and create a potential revenue source for them. We believe there are many reasons to pursue RNG and there is a good supply of it. In fact, the Oregon Department of Energy released a report in 2018 that showed nearly 50 billion cubic feet of RNG technical potential in our state. That's equivalent to all of Oregon's annual residential gas throughput.  Next steps for the law include working with the Oregon Utility Commission in the coming months on the rule-making process. That process is expected to be completed by the summer of next year. While we're in the early stages of these initiatives, I look forward to continuing to work with our regulators and other stakeholders on furthering these innovative solutions that provide climate benefits to our customers at reasonable cost. In summary, we have made substantial progress on all major initiatives in the first half of 2019. We look forward to continuing to execute on our growth opportunities in the second half of this year and for years to come. Thanks, again, for taking time to join us this morning. And with that, Chantelle, I think we're ready to open it for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Thank you. Your first question comes from Sarah Akers, Wells Fargo. Go ahead please.
David Anderson: Good morning Sarah.
Sarah Akers: Hey good morning. Just a question on the cadence of EPS this year. Looks like the midpoint of 2019 guidance implies an annual increase of about $0.10. And as you said, you're up $0.34 year-to-date. So what are the negative drivers in the back half of the year that are expected to drive EPS down over $0.20 or so versus last year's second half?
Frank Burkhartsmeyer: Hi Sarah it’s Frank. Good morning. Yes there’s a couple of things that are different this year than last year. And one way to think about it is, with tax reform and the rate case last year. So until we got our rate case done, it wasn't exactly clear how we would return the benefits of tax reform to customers over what kind of phasing. So in the third quarter, when we got rates set, we were able to finalize our – the credit back. So we had been reserving throughout the year or accruing throughout the year our expectation, which meant – in fact, we had probably accrued a little bit faster that benefit to the customers in the first two quarters, and then we're able to reverse some of that in the third quarter.  So our third quarter impact from tax reform was dampened last year versus this year. So we expect in the nonheating quarters, this year to be normal, and you'll see a greater effect from tax reform in the third quarter than you did last year. In addition, you'll recall that part of the rate case was that we reduced our sharing percentage on interstate storage. So last year, in the second half, between the Enbridge account event and better optimization opportunities for the customer, we had a bit more interstate storage benefits than we would expect this year.  And then, finally, we just have some expenses that will come through. It's not straight across through the year. We'll be relocating to our new headquarters, got to move some servers, et cetera. So there's some additional expense in the second half that we didn't have in the first half. And I'd say that really captures it. But as you recall, Q3 is our absolute nonheating quarter, and thus you really see the effect of the shaping of tax reform in the nonheating quarters, and Q3 would be the big quarter for that. 
Sarah Akers: Got it. Thanks. And then any updated thoughts on the timing of the next rate case filing in Oregon? 
David Anderson: Yes, it’s a good question. We completed the rate case in Oregon last year, and we are evaluating right now the next level rate case. We continue to make substantial investments into the system, and are also looking forward in relation to what expenses look like, et cetera. So probably have a little bit more information on that at year-end or by year-end, but at this point, we're in the evaluation mode right now. 
Sarah Akers: Got it. Thanks a lot.
David Anderson: Thanks Sarah.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference over to David for any closing remarks.
David Anderson: Thanks, Chantelle. And thanks everybody for joining us this morning. As always, if you have any questions or follow-up, please reach out to Nikki. And with that, we'll conclude the call. Have a great day.